Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:05 Thank you for standing by, and welcome to the Entergy Corporation's First Quarter 2022 Earnings Release and Teleconference. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today’s program is being recorded. 00:24 I would now like to introduce your host for today's program, Bill Abler, Vice President, Investor Relations. Please go ahead, sir.
William Abler: 00:32 Good morning and thank you for joining us. We will begin today with comments from Entergy's Chairman and CEO, Leo Denault; and then Drew Marsh, our CFO will review results. In effort to accommodate everyone who ask questions, we request to each person ask no more than two question. 00:51 In today's call, management will make certain forward-looking statements. Actual results could differ materially from these forward-looking statements due to a number of factors, which are set forth in our earnings release, our slide presentation and our SEC filings. Entergy does not assume any obligation to update these forward-looking statements. 01:08 Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today's press release and slide presentation, both of which can be found on the Investor Relations section of our website. 01:22 And now, I will turn the call over to Leo.
Leo Denault: 01:24 Thank you, Bill and good morning, everyone. Today, we are reporting first quarter adjusted earnings of $1.32 per share, a very good start for the year. With favorable weather and higher-than-planned retail sales, we are ahead of schedule and solidly on track to achieve our 2022 objectives. And we remain on track for our longer-term outlooks. During the quarter, we continued to execute on both our near and long-term deliverables, just as we have over the last several years. We've made demonstrable progress on our operational, strategic and financial objectives. 02:03 Operationally, I'll start with some notable regulatory updates. We've continued to make meaningful progress on storm cost recovery. Texas is done and Louisiana's securitization proceeds from the 2020 storms, plus $1 billion towards IDA will be completed in the coming weeks. Entergy Louisiana's filing for the balance of IDA will be completed within the coming days, and the Entergy New Orleans filing will follow later this year. A financially strong utility is important for customers. Drew will discuss how securitization progress supports our balance sheet strength. 02:44 As expected, Entergy Mississippi filed its annual formula rate plan which enables continued customer-centric investment and supports our financial outlooks. We're continuing to drive progress on enhancing the resilience of our system, which benefits customers that supports local economic activity as well as our growth plan. Entergy Louisiana completed an important transmission upgrade in the southern part of the state. This $86 million project replaced approximately 80 structures to increase resilience along several miles of critical path transmission in La Pouch Paris, an area that was severely affected by Hurricane Ida last year. To create a solid foundation, the new infrastructure is placed in steel cases. 03:32 The line was built to withstand wind speeds of 150 miles per hour and will improve the resilience of the electric system. Entergy Louisiana also completed a $100 million project in North Louisiana, that positions the region for economic growth. The West Monroe project will provide additional transition capacity, improve reliability and is built to withstand extreme weather events. What that means for customers is enhanced reliability and resilience, better integration of clean generating resources and economic benefits to improved access to lower cost of power. Bottom line, the Entergy team continues to focus on delivering operational excellence across all facets of our business. 04:15 Strategically, I'll start with our merchant business wind down. The last step in our merchant nuclear exit is nearly complete. Palisades is on track to shut down at the end of May with the sale to Holtec following around mid-year. The Palisades team is fishing strong, and I would like to thank them for their dedicated service. We have worked to help employees with their career goals beyond the plant shutdown. Many will continue to work for Entergy at other locations. Some will continue to work for Holtec on decommissioning and others are retiring. 04:50 As you know, DOE recently announced a program to save nuclear plants that are about to shut down. Michigan's Governor issued a letter encouraging utilization of this program to keep Palisades open. We are supportive of federal initiatives to keep nuclear plants operating. However, we are five years into Palisades shutdown process. We're far down the path. There are significant technical and commercial hurdles to changing course at this point. That said, alongside Holtec, we will work with any qualified party that wants to explore acquiring the plant and obtaining federal funding. 05:29 But I do want to be very clear, this does not change our strategy. Entergy is exiting the merchant nuclear business, even if Palisades continues to operate as a part of Entergy. Across all of our operating companies, we continue to be a critical partner to support strong economic development, bringing new businesses, new jobs and new tax base in the communities we serve. For example, Entergy Arkansas, along with the Wynne Economic Development Corporation announced completion of the select site certification for a 37-acre industrial site. Certification streamlines site selection process. Initiatives like this help track new businesses and new projects like the U.S. Steel expansion that was announced earlier this year. 06:17 Over the past five years, our economic development team has helped bring to provision close to 300 announced projects, $42 billion of capital investments, and more than 25,000 jobs. These outcomes have been critical to the economic health of our communities and have been a significant factor in the 9% cumulative industrial sales growth we've achieved over the past five years. And we continue to expect significant industrial expansion in the next several years. 06:50 As we have discussed, growth from our industrial customers has been driven in large part by cost, labor, logistics and regulatory advantages of the Gulf Coast as well as favorable commodity spreads, which continue to support expansion. Further, the current geopolitical state of the world makes the U.S. and the Gulf Coast in particular, a top choice for stability. 07:15 LNG exporters in the Gulf are being called on to expand production to help reduce Europe's reliance on Russian energy influence. This opportunity represents a win for our customers, communities and owners, not to mention the community. To help support our customers' growth and decarbonization objectives are driving progress to expand our renewables footprint. As of today, we have approximately 650 megawatts of renewable capacity in service. 625 megawatts of solar projects approved by regulators and in progress, 725 megawatts of announced projects and up to 4,000 megawatts of RFPs. That's more than half of the 11,000 megawatts of renewable resources in our supply plan through 2030. 08:05 We've made progress identifying new resources and active RFPs. Since our last call, Entergy Texas concluded evaluations of its 2021 solar RFP. Several resources were selected totaling at least 400 megawatts from owned and contracted proposals. We also made selections from the Louisiana and Arkansas 2021 RFPs earlier in the year. We will provide additional details about the resources selected from these proposals once parties reach definitive agreements. 08:39 We are also soliciting the next round of renewables. Entergy Arkansas recently issued its RFP seeking up to 500 megawatts of renewables to provide cost-effective clean energy, which furthers fuel diversity. Entergy Louisiana also issued notice to proceed with renewable RFP seeking up to 1,500 megawatts in Louisiana. Our customers' demand for decarbonization solutions, including green products is not slowing down. The long-term solar market continues to look favorable based on an improving technology curve and higher natural gas price scenarios. However, we fully recognize the near-term cost and schedule pressures that solar projects are facing. 09:25 Supply chain constraints have been exacerbated by the Department of Commerce investigation, which we expect will drive additional delays and the potential for further cost increases. These dynamics are affecting the entire U.S. solar industry, but we are continuing to work through these constraints and are executing on our solar expansion plans. It's important to note that not all of our projects are affected. For example, Sunflower solar in Mississippi, our only owned project coming online this year as its panels on site installation is nearly complete. 10:01 Entergy's owned solar represents a relatively small portion of our three-year $12 million capital plan. Roughly half of owned projects in the three-year horizon are not experiencing impacts of recent marketing constraints. A greater portion of our own projects are expected in the latter half of the decade, which would be past the current working insurance. As we've said before, we have a large backlog of customer-centric investments with the ability to rotate capital into our plan as an opening presents itself. The bottom line is that we recognize the near and medium-term constraints, still see strong market fundamentals in the long term supports our supply demand and customer objectives. 10:47 On our last call, we told you about the new U.S. Steel expansion. In support of this project and the customers' decarbonization goals, Entergy Arkansas filed for approval to acquire the 250 megawatt driver solar facility. Driver solar is an example of how we can partner with customers with their sustainability needs while accelerating the growth of our renewable portfolio in our regulated framework. It also highlights our unique growth strategy to help customers achieve the outcomes they desire, which in turn drives the outcomes for all Entergy’s stakeholders through more jobs and economic activity in our service area, increased capital deployment to support electrification, low growth to offset costs and higher rate of change towards societal decarbonization. 11:38 Nuclear also plays a critical role in our customer decarbonization strategy. Entergy is one of the cleanest large-scale fleets in the nation due to our nuclear fleet. Customers are increasingly highlighting access to carbon renewable resources is key to economic development. They are looking to reduce their carbon footprint and many are indifferent to the type of carbon-free technology. We continue to see examples in the industry that reinforce the need to balance reliability, supportability, environmental sustainability. Entergy's resource planning has always balanced these objectives. Our baseload nuclear plays an important role. 12:20 We have discussed the sizable long-term opportunity for Entergy to help our industrial customers decarbonize and achieve their sustainability unit levels. We had estimate an addressable market of approximately 30 terawatt hours by 2030. To put that into context, that's about 25% of our 2021 total retail sales. That's not to say that we capture the entire market, but we're working how to serve our customers' needs and maximize this opportunity. With many carbon reduction goals coming past 2030, achieve greater opportunities beyond the next 10 years. 12:59 Realizing this growth requires significant investment benefits to all stakeholders. This will include meaningful transmission and distribution investments to reliably serve the expansion of our renewable beyond the [indiscernible] in our current 2030 resource. Financially, we continue to strengthen our balance sheet. Beyond the securitization progress that I mentioned, also significantly reduced our remaining growth equity needs through 2020. Currently, only 25% of the original amount discussed at our 2020 Analyst Day remains. We are on track to achieve steady predictable growth adjusted EPS in dividends, the opportunity to do even better. 13:44 We're very excited about our upcoming Analyst Day on June 16. We'll use that opportunity to provide a closer look into our multiyear strategy and financial plans. That includes our plans to quickly advance resilient investment in our coastal region to lower storm risk for our system, our communities and our customers. And to further expand our renewables portfolio to support our customers' decarbonization goals. 14:13 As I said, we've had a productive start to 2022, and we will continue to successfully achieve the milestones that keep us on track to deliver steady, predictable earnings and dividend growth while maximizing operating efficiencies and investments to make our system most resilient, reliable, clean and affordable it can be. These are the outcomes our customers want by delivering them to create sustainable value for all our stakeholders. 14:41 Before I conclude, I encourage you to see our recently released 2021 integrated report, "The Future is on". The report lays out how we delivered results in 2021, discusses why we're optimistic and excited about Entergy's future. You can see how we integrate the environmental, social and governance objectives to all we do. 15:04 I'll now turn the call over to Drew to review our first quarter results as well as our financial strength and outlooks.
Andrew Marsh: 15:12 Thank you, Leo. Good morning, everyone. Today, we are reporting strong results for the first quarter. As you can see on Slide 3, we had adjusted earnings of $1.32 per share. The drivers are straightforward and keep us solidly on track to achieve our financial objectives for the year. We remain confident in our continued success and we are affirming our guidance and longer-term outlook. 15:37 Turning to Slide 4, you'll see the drivers for the quarter. As a result of our continued customer-centric investments, we saw higher levels of revenue as well as higher depreciation and interest expenses. Other O&M increases included higher customer service support and nuclear generation expenses. 15:56 Results for EWC are summarized on Slide 5. The drivers for that business are largely due to the shutdown sale of Indian Point last year. As Leo mentioned, we expect to complete our exit of the merchant nuclear business in the coming months. That will be a major strategic milestone. 16:19 Moving to Slide 6. Operating cash flow for the quarter was higher than last year at $538 million. Higher utility revenue, lower fuel and purchase power payments and lower pension contributions were the largest drivers. As a reminder, fuel and purchase power payments were significantly impacted by winter storm Uri in 2021. Non-capital storm spending was higher than last year, which provided a partial offset. 16:48 Turning to credit and liquidity on Slide 7. We continue to make progress on securitizations that will strengthen our balance sheet to produce significant cost savings for our customers. Our regulators recognize that financially healthy utilities benefit our customers. To that end, Entergy Texas recently completed securitization for its 2020 storms. And on the day of our last call, the LPSC approved storm recovery and financing for the 2020 storm plus $1 million down payment on Hurricane Ida. 17:22 The approval included replenishment of Louisiana storm escrow to $290 million. Louisiana securitization is expected to be off balance sheet, and we anticipate a $3.2 billion issuance in the coming weeks. Entergy Louisiana plans to file for Ida cost recovery in the coming days, as Leo mentioned, we are targeting to receive proceeds by year-end. The timing of recovery ultimately depend on procedural schedule approved by the commission. 17:53 Entergy New Orleans is seeking approval on the New Orleans City Council to issue $150 million in securitized bonds to replenish the company's storm reserve. If approved, this reserve would enhance credit and ability to respond to potential future storms. In addition, ENO plans to file for Ida cost recovery later this year. Our net liquidity at the end of the quarter was $3.5 billion, being further supported by the tax securitization proceeds received on April 1, and the $3.2 billion Louisiana securitization proceeds once they are received. 18:33 Beyond securitization and liquidity, we continue to focus on resilience, which we will discuss in detail at our Analyst Day. Part of that discussion will include how we are actively applying for federal funding to help pay for resilience investments and mitigate customer insights. 18:53 Looking at Slide 8. It's been approximately two months since our last earnings call. And that time, we have reduced our equity needs by nearly $170 million through our ATM program, with roughly $570 million remaining to be executed between now and the end of 2024. Given the small amount, our plan is to close out the remaining days with the ATM program. 18:53 The four sectors shown on Slide 9 represent nearly half of our industrial sales. And the fundamentals for our industrial customers remained robust in support of continued growth expansion. In addition, expansion of LNG export facilities is coming into spotlight again. Majority of these potential LNG expansion projects will provide and expand Entergy service territories. 19:43 Looking forward to Slide 10, we have a solid base plan with good visibility to achieve our guidance and outlook. We are also monitoring situations surrounding inflation and interest rates. We did not see a meaningful impact on our operational results, and we remain on track to achieve our annual cost estimate. As a result, we are affirming our 2022 adjusted EPS guidance range as well as our longer-term outlook. 20:13 As we move towards Analyst Day in New York, in June, we're executing on our operational, strategic and financial objectives and building on a solid foundation. In New York, we'll share our longer-term views on customer-centric investments and financial outlooks. And we look forward to seeing you there. And now the Entergy team is available to answer questions.
Operator: 20:37 [Operator Instructions] Our first question comes from the line of Shar Pourreza from Guggenheim Partners. Your question please.
Shar Pourreza: 20:58 Hey, guys.
Leo Denault: 21:00 Good morning
Shar Pourreza: 21:02 Leo, from your prepared remarks, just quickly on Palisades, should we assume you don't want to even remain a short-term owner until the asset is potentially sold? So viability of the asset is really a Holtec question or could there be changes to the Holtec agreement? And maybe just elaborate a little bit on some of the technical challenges like refueling and the capital that's needed to halt decommissioning and can they even be overcome?
Leo Denault: 21:32 Yeah. I'm nearly not going to, Shar, get into any kind of details about what would or wouldn't work. The technical details, though, around operations, the plant will have to stop operating in May because we'll be out of fuel. We haven't ordered fuel. There's a lot of work that would need to be done at the plants to prepare it to continue to operate beyond that cycle. And we really haven't done the investigation into what that work would be because as you might guess, we have been planning for five years to shut the plant down. We do have an agreement with Holtec and obviously, that has certain features in it that by and large, have all been -- all the conditions have been met, except for the plant is still operating. So it's just a real heavy lift at the last hour. 22:27 And as I said, we couldn't be more supportive of the fact that continuing operation of the country's nuclear fleet is important, the reliability of the bulk electric system and to the ability for us to decarbonize the economy, shutting those plants down is just moving backwards. But -- so I'm encouraged by those -- what DOE has got going on for future plants just at this stage with Palisades. It's just a really heavy lift is all we're saying at this moment.
Shar Pourreza: 23:04 Got it. And then just on credit metrics and equity would you guys potentially trending above your thresholds. Do you see any opportunities to maybe further downsize your $570 million of remaining needs? And as you're kind of getting closer to hitting your credit metrics and prepare to roll forward your capital plan, do you anticipate any improvements in credit metric thresholds especially as the business mix has improved and storm funding is moving closer to resolution? So would like, for instance, an improvement in thresholds, let's say, the 12% to 13% effectively leave you over equitized versus the current projections?
Andrew Marsh: 23:45 Yeah, Shar, this is Drew. So in terms of opportunities out there that could continue to change or improve around our credit metrics, obviously. The one that we cited, I think, last -- at the end of last year, I guess, on the last call, was around pension. And certainly, interest rates are changing that pension liability. The returns associated with the trust supporting the pension aren't as good as we were anticipating either all that kind of balancing out. That is something that we are watching closely, if rates continue to stay high and returns turn come back around to -- closer to our expectations, then it could create some more headroom in our credit metric. That's probably the one that we are looking at most closely right now, so we're monitoring that. 24:44 In terms of, obviously, we need to get the securitizations done. We need those to be off sheet as we've discussed. Those things are going to be big milestones in terms of taking some debt off of our balance sheet. And -- but we're watching that closely as well. Outside of that, our expectations around capital, which obviously also drives our equity needs. Those are things that we're watching closely. We do have some capital associated with solar in the near term. And we can -- I'm sure there's going to be a question on the call about that. We can talk about that here in a minute. But we have other capital projects that are waiting in the wings, particularly around resilience. So if there is extra headroom for us because of delays in solar, there's quite a bit of resilience investments that our customers are waiting on and expect us to achieve if there's an opportunity. So I don't anticipate any extra room from the capital side going forward.
Shar Pourreza: 25:51 Got it. And then just one quick follow-up, if I may, and I appreciate that. It's just on your Analyst Day. I know -- I mean, obviously, you guys talked about resiliency and sort of the green tariffs. Just given the timing of sort of the regulatory initiatives and the technical conferences, I know you obviously highlighted how they would fit in with the Analyst Day. But should we specifically think about the Analyst Day as a roll forward of your base plan and you'll qualitatively maybe discuss these opportunities with some scenario, back testing analysis? Or could we actually see some of the spending actually rolled into the capital plan? Thanks.
Leo Denault: 26:28 Well, I think, Shar, we're going to let the punch lines of Analyst Day show up on Analyst Day.
Shar Pourreza: 26:41 All right. Thanks, Leo. [indiscernible] I get that past.
Leo Denault: 26:46 Got it. Thanks.
Operator: 26:48 Thank you. Our next question comes from the line of Nicholas Campanella from Credit Suisse. Your question please.
Nicholas Campanella: 26:57 Hey. Good morning, team. Thanks you for taking the question.
Leo Denault: 27:01 Good morning.
Nicholas Campanella: 27:02 So I just wanted to hit solar supply chain risks quick and just the impact. Could you just help us just size the amount of megawatts going into rate base that would potentially be at risk? I think you said roughly half you're secured on over the three-year horizon. So is that like 300 to 400 megawatts? And just to confirm, I heard your last comments right, to the extent that capital shifts, you were just going to backfill that with potential distribution resiliency spend?
Roderick West: 27:31 Yeah. And this is Rod. Good morning. From Leo's comments, the near-term risk that we were referring to in terms of existing owned projects was roughly 280 megawatts because we we’re discrete about both -- we're explicit about both West Memphis and Walnut Bend. And so from a megawatt standpoint, they really don't represent a material amount of capacity. So we want to make sure that we put that in some context. And recall, Leo also mentioned the lion's share of our renewable capacity actually shows up on the back end of the decade. So we're calling it out because we recognize that there are some near-term constraints, but they really don't influence, how we're thinking about our build-out.
Leo Denault: 28:28 And I think to your last point, Nick, I think Drew mentioned it and I mentioned in the script, we've got a capital plan and timing that's laid out. We've got other things waiting in the wings that we could or couldn't accelerate. So the ability to roll something else into the plan that provides benefits to our customers in a different way is always there.
Nicholas Campanella: 28:56 Absolutely. And then just Drew's comments on inflation. If anywhere, where would you kind of call out that you're kind of seeing the most pressure to the plan? And can you just kind of talk about just the current state of power markets, how you're kind of managing customer bill impacts and the ability to just continue to extend your rate base growth here, perhaps any levers that makes your jurisdiction more unique than others, that would be helpful. Thanks.
Andrew Marsh: 29:23 Thanks, Nick. This is Drew. So the way you phrase it was an interesting way to think about it, in terms of putting pressure on the plan. I would actually turn that around and say that it actually enhances the economics of the plan because we think about where the inflation -- what the inflation does to our two central investment themes beyond sort of our base capital in renewables. And in resilience, we think that inflation will actually strengthen the economic case from a customer's perspective to get those things done. Certainly, when you talk about renewables and higher gas prices, there's more economic headroom there right now. And that's accelerating the pressure to get the renewables done. We've already done a lot of work around improving our gas efficiency with the CCGTs that we've built historically. And of course, the Orange County Advanced Power Station is out there as well, a high-efficiency unit. So those things are helpful already, but we think it will accelerate our plan around renewables. 30:36 And then, of course, around resilience, a key piece of the plan is the costs associated with putting up hardened lines, distribution lines, transmission lines prior to a storm compared to the cost associated with doing it after the storm. And to the extent that there is inflation, that's going to exacerbate that difference, which is already substantial, and accelerate the need for customers to do it ahead of time in a planful way. And so obviously, those things have an impact on the customer bill, but the alternative of not doing it is an even greater impact on the customer bill. So I think it will drive customers who want to accelerate our plan, which will include renewables and resilience investment.
Nicholas Campanella: 31:30 That was very detailed. Thanks for the repose. See you in New York.
Andrew Marsh: 31:36 All right. Thanks, Nick.
Operator: 31:37 Thank you. Our next question comes from the line of Jeremy Tonet from JPMorgan. Your question please.
Jeremy Tonet: 31:46 Hi. Good morning.
Leo Denault: 31:47 Good morning, Jeremy.
Jeremy Tonet: 31:49 All right. Just want to come back to DOC a little bit more, if I could. And for 2023 projects, if you could just break down price risk versus timing risk. And do you see C&I demand kind of insulating the project to a degree on both these factors?
Roderick West: 32:10 Price risk -- ask the question again, so I want to make sure Drew and I are trying to figure out who's going to answer what part of the question because I know that was a price risk question in there as well.
Jeremy Tonet: 32:21 Yeah. Just price and timing for 2023 projects.
Roderick West: 32:28 So the -- on the projects that we just referenced that being Sunflower, for instance. Sunflower is not at risk. That's one of our own projects. We're expecting that one, as Leo alluded to, to be in service sometime in August. So we're looking good there. The other ongoing projects that we are expecting a bit of delay of the ones I referenced earlier, West Memphis and Walnut Bend. We're working with our BOT partners, both of whom are reputable firms, to lock down both price and schedule certainty. And so there is some risk on both because of the delays for both the supply chain as well as the DOC issues. But beyond that, we'll see if Drew adds anything to that.
Andrew Marsh: 33:23 Well, I think the only thing I'll add to what Rod said is that -- and actually, Rod mentioned earlier, the bulk of our expectations are beyond kind of the next two year window. And we've issued RFPs, the DOC piece accepted. And they're fully aware of all the supply chain concerns and risks. And they are -- prior to the DOC action, they were already aware of tariff activity in that space. So we expect that these folks that we have -- that we are working with coming out of the RFP will be well situated to manage through the current environment and meet the expectations that they put through in the RFPs. 34:13 We expect that the DOC fees will be resolved at some point relatively near term. I mean, I think most of the folks that we've been engaging with would talk about by the end of the year. But even if it goes a little bit longer, we don't think that, that puts our overall expectations in jeopardy. And certainly, in the near term, as I mentioned earlier, there are plenty of other things. If projects are delayed, there are plenty other things for us to accelerate forward and meet other customer expectations.
Jeremy Tonet: 34:44 Got it. Thank you for thought. That's helpful. And just kind of pivoting a bit here to nuclear and really small modular reactors, just want to know your thoughts on, I guess, how this could unfold going forward. And we saw one of your peers potentially partnering with the university to build an SMR. Is this something that Entergy would consider doing to demonstrate the viability of the technology? Or any thoughts like us on SMR when and if that could be something that Entergy is really moving more towards or exploring?
Roderick West: 35:19 Yeah, Jeremy. We're certainly monitoring what's going on in the SMR space. And as you might guess our nuclear folks are involved in advisory capacities and others with various entities to make sure that we're -- we've got our finger on the pulse of where that goes. I think that the success of the technology is going to be critical to the decarbonization objectives of the economy. When you think about the ability to build cost competitive, carbon-free, smaller projects that aren't -- the issue, for example, we have with the size of the capital budgets of the existing technologies is that they're as big as the companies that fund them. And that's problematic if you got issues in construction. So we're very excited about that opportunity, when and how it fits itself into our needs, we're continuing to monitor and it's a little bit difficult to say. But certainly, I think we should all be -- room for that technology to take root. 36:31 We are spending, I know probably more of our efforts in the hydrogen space because of the unique position that we have in the hydrogen market with producers, consumers, stores, transported all in the heart of our service territory. So there's a unique advantage there. But it doesn't mean we're not staying involved in what the SMR technology could do for us and for the economy in general.
Jeremy Tonet: 36:59 Got it. It's very helpful, I leave it there. Thanks.
Roderick West: 37:03 Thank you.
Operator: 37:05 Thank you. Our next question comes from the line of Durgesh Chopra from Evercore ISI. Your question please.
Durgesh Chopra: 37:13 Hey. Good morning, guys and Drew long time no see. Just -- other questions have been answered. Just one quick follow-up from my side. Just can you confirm that the storm Ida balance of costs, which you haven't received sort of regulatory approval for? Does that still sit at $1.7 billion? I believe that was the number as of the end of the fourth quarter call. So if you could just confirm that or update us on where that sits now?
Andrew Marsh: 37:47 Yeah. So the answer is the total cost estimate for that storm is still at $2.7 billion in total, $1 billion of that is in the first securitization we expect to price in the next few weeks. And the balance would be towards the end of the year. The full $2.7 billion will be part of our filing that we are making in the next couple of days. We still be -- just to clarify, we have to get approval for the full amount to get cost recovery for the full amount. That hasn't -- $1 billion down payment is not pre-approval of those costs. It's just -- it's a prefinancing.
Durgesh Chopra: 38:29 I see. So essentially, you'll be seeking approval for the full $2.7 billion and the $1 billion that you've gotten already will be applied towards it. Is that the right way to think about it?
Andrew Marsh: 38:41 That is correct.
Durgesh Chopra: 38:43 Okay. Thank you very much. I appreciate the call today. Thanks guys.
Andrew Marsh: 38:49 Thank you.
Operator: 38:49 Thank you. Our next question comes from the line of Julien Dumoulin-Smith from Bank of America. Your question please.
Julien Dumoulin-Smith: 38:57 Hi. Good morning, team and thanks for the opportunity here. Congratulations on continued results. If I can, just to focus on the first quarter and some of the dynamics here. Can you comment a little bit on the industrial demand and the 6.5% in the first quarter here? And how do you see this trend through the balance of the year as you think about it, especially given the potential for export-oriented industries to do particularly well here? And could you talk also in tandem at the same time about some of those trends that you observed specifically around accelerating customer desire for renewables? You had specifically identified at the start of this year, a number of very large customers. But I have to imagine, based on your comments already that there are actually several other larger customers that you're talking to.
Andrew Marsh: 39:46 Yes. So this is Drew. I'll take the first part, and I'll turn the second part over to Rod. And so certainly, in terms of the sales expectations, we did have higher-than-anticipated industrial sales in the quarter. A lot of -- most of it was actually more or less in line. In fact, I would say, compared to our expectations, obviously, refiners, seeing very high crack spreads performed well. We did have some unplanned outages in some of the chemical and petrochemical space, which pulled us down a bit. And then there are unplanned outages for our Cogent customers, and that actually lifted us back up. So that Cogent piece was actually fairly strong, where there were a number of outages that helped lift is back up. 40:33 I would say that the other part, the unplanned outages for our regular customers, that was fairly significant too. So I mean, all in all, it's probably about what we were expecting but a little bit higher. And as we sort of go through the balance of the year, and I showed you the statistics on one of the slides or some of our key industries, we do expect them to continue to run at high utilization rates. Aside from planned or unplanned outages, they're going to try and trim those off as much as they can to run as hard as they can, given the current commodity environment. 41:10 And I will also say LNG wasn't on that page, but LNG utilization rates are extremely high as well. So I'll turn it over to Rod to talk about other...
Roderick West: 41:22 I was only going to elaborate on the LNG piece, and I'm not going to, Leo's point, give any pouch lines around Analyst Day because we'll give our point of view on our five-year outlook. But we are seeing greater interest in signing offtake contracts, which would support our view on expansion in the LNG space. We'll leave it to our customers to lead that conversation, but we'll note empirically that 85% of the projects are under FID consideration in the LNG space are in Entergy service territory. And so it just further supports our point of view that we have a unique growth story that is our customers have a unique growth story. And our ability to serve their expansions in addition to their -- helping them meet their ESG objectives remains a growth opportunity for us for us, and we still remain bullish about it.
Julien Dumoulin-Smith: 42:29 Excellent. And then just one other nuance here. I'm just seeing a lot of headlines here on insurance costs. I'm sure you guys have seen the headlines in Florida, but also in Louisiana itself, especially as it relates to catastrophic storms. Can you comment about any potential pressures from an inflationary perspective on your business specifics?
Leo Denault: 42:49 You're talking about insurance specifically, Julien?
Julien Dumoulin-Smith: 42:51 Yeah. I mean I was thinking about insurance specifically, obviously, a broader backdrop here, but insurance seems to be getting headlines here outside of the utility space of very late.
Leo Denault: 43:05 Okay. So I'll -- now insurance is -- we aren't allowed to ensure our poles and wires. So that hasn't been a driver on that particular space. Just like everybody else, we have seen broad insurance premium pressure. And so we are working through that regardless of whether it's property or general liability or what have you, et cetera. So we are cyber. We're working through that and making sure that we continue to meet our overall O&M expectations on a go-forward basis. But that's, as you said, it's sort of symptomatic of a broader perspective around inflation. We certainly have seen inflation in the fuel space. We've talked about that a little bit. We are working with our stakeholders on how to manage that in the near term. I think long term, that is a commodity which cycles, and we expect the wildcatter spirit that's out there and the oil patch to take over at some point and help bring prices back down again. 44:13 As far as sort of inflation in the capital space, we talked about that a little bit with solar, we're seeing it in other materials and some of our other capital projects. But I think the thing to keep in mind on that is, we're seeing it for our current marginal capital projects, but they're being added to a much larger rate base, which is already invested in and fixed. And so it's a much smaller piece of the overall rate base when you added in. And so the pressure from a customer bill perspective is not that great. Certainly, as I mentioned, the fuel piece is something we're paying close attention to. And as far as just other operating costs, we haven't seen much pressure as of late. But we're certainly mindful of that, and we are driving our continuous improvement efforts to make sure that we stay ahead of that on an ongoing basis.
Julien Dumoulin-Smith: 45:11 Got it. It doesn't sound like it's an outsized impact to you all here. It sounds like you guys have it under control. And also it sounds like a pretty good update here at this Analyst Day. So we're going to stay tuned. Thank you, guys.
Leo Denault: 45:23 Thanks, Julien.
Operator: 45:26 Thank you. Our next question comes from the line of Steve Fleishman from Wolfe Research. Your question please.
Steve Fleishman: 45:32 Yeah. Hi. Good morning. Just on the resilience plans that you have talked about. I think going back to last year, you talked about kind of having discussions with key stakeholders and the like. And just -- can you give any sense of how those have gone? And is there any -- do you get a sense of urgency from people on this? Just any color there?
Roderick West: 46:03 Thanks, Steve. It's Rod. Good morning. We have just completed the analytics around the risk scenarios, probably consequence of storms. And we're in that evaluation phase of the CapEx investment scenarios. And so what you're alluding to is the beginning of the formal and sometimes informal technical and stakeholder conferences and conversation. That actually begins in earnest tomorrow as we begin the conversation in New Orleans. And so the feedback loop is just beginning, and we'll have more color around it at Analyst Day. I can tell you that we have certainly had informal conversations as we were beginning the analytics. And there's a keen interest in understanding, one, what's our point of view around the risk and the benefits of acceleration. Obviously, in the current economic environment, most of the stakeholders, customers and regulators and others alike are always going to be interested in how we think through the cost and bill impact. 47:29 And so we're beginning, but I'm expecting a very active engagement from the stakeholders as we move through New Orleans. Certainly, Louisiana in route to what we believe to be our first formal filings in that July time frame for the City of New Orleans. And then the state of Louisiana certainly around that time frame, but not just likely later. Even in Texas, Steve, we have -- we've begun dropping ideas around how they ought to think about resiliency. They -- certainly, their point of view might be a little different in terms of the sense of urgency that you alluded to than say, Louisiana and New Orleans. But we certainly have their attention, especially given the role of our Texas service territory in the industrial growth space. And their interest in resiliency as well. But short answer is we're just beginning, but more to say about it at Analyst Day, Steve.
Steve Fleishman: 48:38 Okay. So it sounds like at the very least, you'll have better data scenarios for the Analyst Day of what different options are. And obviously, the results will be over time, depending on what customers states want. Okay. Thank you.
Roderick West: 48:57 Thank you.
Operator: 49:01 Thank you. Our next question comes from the line of Jonathan Arnold from Vertical Research. Your question please.
Jonathan Arnold: 49:08 Good morning, guys. One question, just -- can you give us a little bit of a sense, you've alluded to being conscious of commodity and gas prices and obviously, take your points about the longer-term benefits of some of your investment plans. But what is the sort of current build trajectory that you see over the coming months? And maybe we could just sort of focus in on that.
Andrew Marsh: 49:41 Sure. This is Drew. So in the near term, of course, it depends on the jurisdiction. The one that you're probably most interested in, of course, is Louisiana and the securitization costs associated with that. It will depend on what the final pricing is of those securitization bonds, but somewhere in the neighborhood of about 10% once all those securitization costs are into bills. And I think that includes a little bit of uptick in the interest rates that we see. So obviously, our customers are expecting that. They know it's out there. So we're managing through that with our stakeholders. And the bulk of that has already been approved by the commission. And so it's headed forward as we've discussed. 50:36 The gas price piece -- that reflects -- it depends on the jurisdiction, but it generally gets into bills fairly quickly in Louisiana, Texas, New Orleans. There is a little bit of hedging that goes on in Mississippi and Louisiana can help that, but it's pretty small. But they're used to the gas price volatility. Nevertheless, we're continuing to work through it, the continuous improvement program that we have as part of that. We also have levelized billing programs for customers that allow them to manage through their bill and avoid some of that volatility. So those are examples of things that we're doing to try to help customers go through that. And then over time, I think gas prices are a little bit above where our previous expectations were, but they're still in a manageable range. And as we said and as you were alluding to, Jonathan, the investments that we intend to make should help with gas price risk and inflation risk on a longer-term basis.
Jonathan Arnold: 51:51 When you say over time, Drew, you're talking about sort of further out on the curve, right? Can you frame for us what the sort of 2022 impact on sort of top of the securitization might end up being on Louisiana customers, for example?
Andrew Marsh: 52:08 On 2022, yeah, it's going to be a portion of what I was explaining earlier because it's not always the overall securitization costs. So maybe about two-thirds of that. So about a 5% or 6% increase by the -- once those get into the bills this year -- later this year.
Jonathan Arnold: 52:30 And then I think the commodity piece is incremental to that? Or is that included in that number? I guess my...
Andrew Marsh: 52:36 No. The commodity piece -- you're talking about gas prices? Yes. I think a general rule of thumb around there is about $1 per MMBtu is about a 3% to 4% increase in gas prices, if that's sustained over a year. Of course, we haven't seen that yet, but that would be kind of the thought there.
Jonathan Arnold: 53:00 Okay. Thank you for that color. If I could just on one other thing. When I look at your slide with the progress against guidance in the few buckets like utility O&M and the interest line and then also this is parent line that's now there. It seems like you're tracking -- you've had more than a quarter's worth of the pressure you were expecting from the year in first quarter. I know that other taxes piece, you said would be kind of more front-end loaded. But is that timing across the board? Or are these some things that are building, but then you hope that kind of the sales uptick is going to hold your homeless effective? I was just curious if you can frame that a bit for us.
Andrew Marsh: 53:44 Yeah. Sure. So in terms of O&M, I think in the first quarter, you're talking to the timing elements. We are on track for our expectations for the balance of the year. And in terms of the interest expense element, we are seeing some interest expense that's a little bit higher than we would expect to stick as we go through the course of the year. But there's also some timing elements in that sort of category that we are seeing in the first quarter that will turn back around. So you're not seeing all of the interest expense in the first quarter and it goes away. It actually is going to be building over the balance of the year, but there are some timing elements in the first quarter that will turn around. But I think those are the two things that are going on.
Jonathan Arnold: 54:30 Thank you for that. Thanks. Good luck. Look forward to [indiscernible].
Andrew Marsh: 54:32 All right. Thank you.
Operator: 54:34 Thank you. Our next question comes from the line of James Thalacker from BMO Capital Markets. Your question please.
James Thalacker: 54:43 Hi. Good morning, everyone.
Andrew Marsh: 54:44 Good morning, James.
James Thalacker: 54:47 Just a real quick clarification just post Julien's question. With a slightly better sales outlook you guys have, have the drivers related to mix changed materially, Ergo? Is this really being driven more by a more robust C&I sales? Or are you seeing higher demand across all classes despite an increasing trend for return to work at this point?
Roderick West: 55:11 This is Rod. I think the short answer is it's been actually going the way that we expected. With residential demand trailing off as our residential customers are going back to work, school and kind of a pre-COVID life. And the growth story being driven by the C&I space that you alluded to. So from our vantage point, we're actually tracking according to plan there with a little bit of robustness in the C&I space, but that's about it.
James Thalacker: 55:52 Okay. Great. And just following up on Jonathan's question too, just to clarify, the 10% increase you're talking about, that's in -- that's 10% increase across total retail sales, correct, in Louisiana?
Roderick West: 56:08 Yes.
James Thalacker: 56:10 Is there somewhat of a skew across -- from a rate design basis like, is there a rough idea of like what that could mean for residential versus commercial versus industrial? Might be a little too granular at this point. I can follow up offline.
Andrew Marsh: 56:27 Yeah. I think Bill can cover that for you offline because I don't -- I can't actually answer that off the top of my head. There is a difference, of course. There's a big chunk of distribution costs and that is going to go mostly to residential and commercial customers, not as much on industrial customers.
James Thalacker: 56:45 Okay. Great. I’ll follow up with Bill. Thanks so much.
Operator: 56:50 Thank you. Our final question for today comes from the line of Ross Fowler from UBS. Your question please.
Ross Fowler: 56:57 Good morning. How are you? So if I think about your base capital plan at $12 billion. And I think if I remember correctly from -- we're talking about $5 billion to $15 billion of potential incremental CapEx. I just wanted to understand or comment around federal funding. Is that $5 billion or $15 billion of incremental CapEx sort of net of that number or would any federal funding net that number down, whatever that number happens to be depending on the long-term opportunity set?
Andrew Marsh: 57:32 Yes. The federal funding would be outside of anything that we've got in our projections. So the $5 billion to $15 billion, that isn't over the next three years, that goes out through 2030. Just to be clear on that. And it's really an acceleration of work that we could do over time based on the fact that we might take things that are working today, but are old standard and pull them down and put up something of a new standard. It's that kind of work that we'd be looking at. So any kind of federal funding would be used to offset the cost. And then that provides headroom that you could potentially accelerate more. 58:16 So one way to think about it, Ross, would be if you were going to spend $10 billion, and then all of a sudden, you got $1 billion worth of federal funding, we may spend $11 million, would be one option to be able to -- and you get it for effectively $11 billion worth of resilience for $10 billion number. So that's the way we would think about it and likely propose it.
Ross Fowler: 58:40 Okay. That's the way I understood it. I just want to make sure I was understanding that correctly. And then maybe longer-term, as you get to the credit metrics you need on the balance sheet you want on the balance sheet. If you think about your 5% to 7% EPS growth. As you execute some of these opportunities and maybe grow rate base faster than that in the long term, but there might be an equity need attached to the capital. So does that bring your EPS growth rate back down. What -- how do you think about rates on bills and your long-term growth rate? In other words, is the $5 billion to $15 billion thinking about extending that 5% to 7% or maybe even the upper end of that 5% to 7% for a longer period of time? Or is there actually an opportunity to accelerate that 5% to 7% longer term given bill pressure and other things that might happen with inflation?
Leo Denault: 59:33 Yeah. I guess I'll kind of sum it up this way. We have a significant amount of growth opportunities because of the growth needs of our customers. The resilience spend is certainly one of those areas. The acceleration of renewables ahead of the schedule that we're on to meet decarbonization goals of our current customers as they want to get outsized access to clean resources could accelerate renewables at the same loan growth. The expansion of our industrial base is a growth opportunity, just the growth that we're seeing, as we've talked about, the utilization rates are high, inventories are low, all the commodity spreads are in the right place. That leaves itself pretty ripe for expansion. And that's what we're seeing as we have dialogue with our customers going forward. 60:31 And then the electrification side of things where they're going to take existing load or existing processes that are not electrified and electrify them, and that creates load growth. So there's all kinds of avenues for growth in customer demand for a higher level or a different level of service that could provide capital opportunities for us. I would say at a minimum, that just makes the runway pretty long for us in terms of where we are with the current outlook. Our objective would certainly be to have a better outlook going forward and balance all the things that you were talking about. The growth in sales, the growth in investment, and the growth in financing needs and balance all that out in a way that creates a different trajectory for us going forward. 61:18 And I think our customers are going to demand the types of investments we need to make that happen. But that's in the future. So I think all of those combined certainly bode well for a continuation of the growth that we've seen and demonstrated over the course of the last several years, pretty much like clockwork. And then I think our objective and the work we need to do is to find a way to make it better.
Ross Fowler: 61:46 All right. That’s perfect. Thank you for that. Look forward to seeing you in June.
Leo Denault: 61:51 All right. Thank you, Ross. Look forward to seeing all of you as well.
Operator: 61:55 Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Bill Abler for any further remarks.
William Abler: 62:05 Thank you, Jonathan and thanks to everyone for participating this morning. Our quarterly report on Form 10-Q is due to the SEC on May 5, and provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-Q filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with generally accepted accounting principles. Also, as a reminder, we maintain a web page as part of Entergy's Investor Relations website called Regulatory and Other Information, which provides key updates of regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant company information. And this concludes our call. Thank you very much.
Operator: 62:55 Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.